Operator: Good morning, and welcome to Marpai Third Quarter 2025 Earnings Webcast. [Operator Instructions] Please note that this conference is being recorded. I would now like to turn the conference over to Steve Johnson, Chief Financial Officer. Please go ahead.
Steve Johnson: Thank you. Good morning, and thank you for joining us for the Marpai Third Quarter 2025 Earnings Release Webcast. With me this morning is Damien Lamendola, Director and CEO of Marpai; and Dallas Scrip, President and Chief Operating Officer of Marpai. Before we begin, I'd like to draw your attention to the forward-looking statements included in this presentation. Damien, the floor is yours.
Damien Lamendola: Thank you, Steve. Employers have 2 basic options when considering the health benefits for their employees. Fully funded with a traditional insurance company are self-funded where the employer takes on the funding responsibilities for their health insurance benefits. Given the continued high rate of health care inflation, many more companies are choosing to self-fund their benefit programs and use a third-party administrator. Generally, just by moving to a self-funded plan, it reduces overall cost by 10% or more. As more and more employers are quickly moving over to self-funded plans, the demand for TPA services has been increasing significantly. I'll turn it over to Dallas now, who, as Steve said, is our President and Chief Operating Officer.
Dallas Scrip: Thank you, Damien. Marpai has a national footprint, allowing us to serve employers with multistate locations with ease, which many of our regional competitors really struggle to do. Marpai also offers significant cost savings programs and our relaunch of MarpaiRx will be a game changer for us. As a leading independent TPA, we put our clients first with a robust arsenal of services, Marpai assists with benefit plan design and aggressively negotiates on behalf of our clients to help manage their ever-rising costs. The TPA industry has a massive total addressable market of over $150 billion, and it's poised to grow 123% by 2031, according to the recent research published by the Insight Partners. The primary reasons for the growth, rising health care costs, growing employer-sponsored health plans, technology advances and further expansion of TPA offerings. I'll now hand it over to Steve to cover the third quarter results.
Steve Johnson: Thank you, Dallas. Net revenues were $4 million for the 3 months ended September 30, 2025, which was $3 million or approximately 42% lower than the third quarter last year. Our operating expenses were $3.9 million or $1.2 million or a 24% improvement over last year third quarter. Operating loss was $3.5 million in the third quarter of 2025, $0.1 million or 2% improvement over the third quarter last year. Our net loss was $3 million for the quarter or $0.1 million, 2% improvement over the third quarter in 2024. And our basic and diluted loss per share was $0.20 for the 3 months ended September 30, 2025, an improvement of $0.10 per share from the third quarter last year. So we continue on our year-over-year progress and one of the things we wanted to highlight was our cash and capital planning. Our disciplined focus on efficiency has allowed us to substantially reduce the company's cash burn, leaving us with $450,000 in unrestricted cash on hand at the end of Q3. As we recently announced, we completed a $3.9 million private investment in public equity or PIPE transaction. This successful capital raise, we believe, delivers the financial strength needed to fully fund the final stages of our high-growth turnaround plan. We strategically partnered with long-term focused family office investors and committed insiders, a clear vote of confidence in Marpai's future potential. Looking ahead, we are driving new efficiencies by consolidating our claims processing into a single cutting-edge operating system. This key infrastructure upgrade is expected to unlock significant additional cost savings in our technology and infrastructure expense, further accelerating our path to profitability and fueling our next phase of growth. I will now hand it over to Dallas to discuss operations and sales developments.
Dallas Scrip: Thank you, Steve. First of all, I want to say that I'm very excited to be part of the Marpai team. I joined back at the start of the third quarter, and we continue to make improvements and progress on a daily basis. We've shifted our operational emphasis towards retention and new business with clarity, alignment and focus. It's a client-centric approach that's led by metrics and KPIs. We believe in the continuous improvement mindset, adjusting processes and increasing self-service for 24/7 coverage and speed. As part of this initiative, I am pleased to report that the company will complete its rollout of the Empara client experience tool in Q4. As you may be aware, 80% of new business for health benefit plans follow the calendar year. So we are right in the midst of our busiest 2026 sales cycle. Currently, we have high double-digit new client deals already booked for January 1. This represents a substantial increase in our base business, and we believe there's much more to come before the end of the year. As an aside, the company does not report employee e-lives data for competitive reasons. One key highlight I can share is that our MarpaiRx program has been a differentiating factor in our ability to win new business. And I have previously led 2 other TPAs and MarpaiRx is a game changer for us. Now I'll turn it back over to Damien to share some final thoughts.
Damien Lamendola: Thanks, Dallas. As Marpai's CEO, Director and largest shareholder, I continue to invest in Marpai, including $1.7 million in Q3 because I believe strongly in what we're building, smarter health care with better patient outcomes at significantly lower cost and a rapidly scalable platform that's disrupting a $5.5 trillion a year U.S. health care market. My personal commitment, both financial and operational, reflects my deep growing confidence in our experienced leadership team, our rapidly improving technology and our ability to quickly execute on a hypergrowth strategy that leads to an unmatched sustainable profitability. Our mission is not to develop a cheaper health care program. It is to show a more efficient U.S. health care system with healthier patients, allowing us to care for more Americans. Previously, I founded a $1 billion health care business 10 years ago. Marpai has already shown much, much greater significant potential. I am very proud of our team and organization. We've asked a lot from our employees, and they have delivered. We haven't forgotten that our members matter. As Dallas just outlined, through disciplined focus, we have stabilized our operations, fortified our financial foundation and effectively earning us the right to look forward. The entire organization is now aligned and energized having successfully navigated complexity, and we are strategically positioned to pivot from recovery to an aggressive sustainable growth phase. Our focus is squarely on leveraging our renewed efficiencies capture market share and deliver exceptional long-term value. At this time, I'll turn it back to the operator to open the line for questions.
Operator: [Operator Instructions] It seems like there are no questions that came through. I will now turn the call over back to Steve Johnson for any closing remarks. Please go ahead, sir.
Steve Johnson: Well, thank you. And again, thanks for joining us. For those of you who may have questions that weren't able to get through or on the line, please feel free to reach out to our Investor Relations website or to e-mail me with the contact information is available there for you at steve.johnson@marpaihealth.com. Again, thank you for your support and look forward to the next earnings call after the end of the year. Bye-bye.
Operator: Thank you. The conference call has now concluded. Thank you for attending today's presentation. You may now disconnect.